Operator: Good afternoon and welcome to the Shapeways Fourth Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the call to Nikki Sacks of Investor Relations. Please go ahead.
Nikki Sacks: Greetings and welcome to Shapeways fourth quarter 2022 earnings call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the prepared remarks. As a reminder, this conference is being recorded. Before we get started, I'd like to remind everyone that management will be making statements during this call that include forward-looking statements within the meaning of Federal Securities Laws, which are made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical fact, should be deemed to be forward-looking statements. Our forward-looking statements, including without limitation statements regarding our business strategy, future financial and operating performance, projected financial results for the first quarter of 2023, expected growth, impact of recent acquisitions, new offerings, market opportunity and plans for compliance with the NYSE's continued listing standards are based upon current estimates and various assumptions. These statements involve material risks and uncertainties that could result in actual results to differ materially from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For description of the risks and uncertainties associated with our business, please see the company's SEC filings, including the company's annual report on Form 10-K for the year ended December 31, 2022. Information provided in this conference call speaks only to the broadcast today, March 30, 2023. Shapeways disclaims any obligation except as required by law to update or revise forward-looking statements. Also, during the course of today's call, we'll refer to adjusted EBITDA, which is a non-GAAP financial measure. There's a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after market close, which can be found on our website, www.shapeways.com. On the call today, are Greg Kress, Chief Executive Officer; and Alberto Recchi, Chief Financial Officer. And now, I'd like to turn the call over to Greg. Greg?
Greg Kress: Good afternoon, everyone. Thanks for joining us to discuss Shapeways fourth quarter and full year 2022 financial results and progress on our key initiatives and strategic growth plan. I'll begin by providing a business update and Alberto Recchi, our CFO, will then discuss our fourth quarter financial results and outlook for the first quarter. We are pleased with our fourth quarter results, which came in as anticipated as we delivered 5% revenue growth in line with our guidance. Notably in 2022, we made a number of investments, which we believe positioned us well for growth. These include new materials, technologies and certifications, enhancing our software platform as well as continuing to refine our focus to those areas that offer the greatest opportunity, particularly enterprise manufacturing solutions and commercializing our software. In 2022, we completed three acquisitions including the successful acquisition and integration of Linear AMS, which accelerated the expansion of our manufacturing capabilities and extended the materials, technologies and certifications that we offer our customers. Today we offer 12 hardware technologies and more than 120 materials and finishes, including industrial metals and advance finishing. And we give our customers everything they need from design and pre-production to manufacturing and delivery across a range of industries. Building on our years of experience and having made these investments, we believe Shapeways provides an extremely compelling solution for a range of customers, from project-focused engineers to large global enterprises seeking high quality, flexible on-demand manufacturing. Shapeways is ideally situated to disrupt the multi-trillion dollar manufacturing industry as manufacturers seek more flexible and reliable solutions to their manufacturing needs. Furthermore, we have a meaningful opportunity to capture business from small and medium size manufacturers that are unlikely to invest the capital required to deploy and support their own digital capabilities. Shapeways core competency is in low-volume, high-mix production at scale, a compelling solution in an environment increasingly focused on mass customization and speed of part delivery. Importantly, we are not limited to prototyping in low-volume production. As our customers scale, we are able to support their growing needs with traditional methods. Through our acquisition of linear AMS, we gained traditional injection molding capabilities. Our broad solution allows us to efficiently capture a larger portion of our customers’ spend and to grow with our customers’ needs. I'd like to highlight just a few applications which illustrate the demand for digital manufacturing, particularly in key markets in which we operate such as industrial, medical, automotive, and aerospace. Whirlpool recently leveraged Shapeways design and manufacturing expertise to create production injection molds using both traditional and metal additive processes to achieve cost-effective low volume production. Also, Lockheed Martin and NASA also started using Shapeways in support of Project Dragonfly, leveraging Shapeways to manufacture flight-qualified parts in support of their drone designs. Our pipeline for enterprise opportunities continues to build with growing interest from customers like I just described, including other large Fortune 500 companies, which are seeking manufacturing solutions for various specific needs. We are encouraged by the momentum, as initial qualification orders are moving to scaled production and as customers expand the size and scope of their orders. The other element of our growth story, which makes us particularly excited is commercializing our software. As we've discussed, one of the key differentiators is Shapeways proprietary software, which digitizes the end-to-end process from “through delivery”. Our software enables us to offer high quality, low-volume, complex part production, but it is also a valuable tool for global manufacturers, specifically small and medium sized traditional manufacturers that are not able to invest in the capital and time necessary to digitize their businesses. Our software customers can leverage our software tools and services for capabilities such as file upload, instant pricing, checkout optimization, and manufacturing fulfilment. This helps them grow their business by enabling improved customer accessibility, increased productivity, and expanded manufacturing capabilities. In short, moving offline processes online enables a more streamlined process and increases manufacturing throughput, which should enable software customers to expand their manufacturing capabilities and to capture more customer share of wallet, all without having to invest in hardware. Since launching our commercialized software product offering, auto, we have validated the market need and enhanced the product. We further accelerated our plan phased rollout with the acquisition of MFG and MakerOS, which we completed last year. We are pleased with the market reception and in 2022 we realized six times the amount of software revenue from the prior year reaching $1.8 million. We are optimistic about the continued growth prospects with a meaningful opportunity to capture revenue through SaaS subscriptions, transaction and processing fees, demand generation services and overflow manufacturing capabilities by Shapeways and other supply chain partners. With regard to our legacy self-service and marketplace e-commerce business, we continue to focus on stabilizing those channels as we continue to see increased competition. We expect to see continued demand and to realize a solid contribution from this business. But our growth focus is on our enterprise manufacturing and software businesses. As we move through 2023, we remain focused on improving our cash burn while prior prioritizing the initiatives I discussed that we believe will present the greatest opportunity for profitable growth. We believe the investments we have already made and the market validation that we have already completed have put us on this track. We are encouraged by the momentum we have built and we believe that we are well positioned for continued growth. I would like to thank the entire Shapeways team, our customers, our investors, and all of our stakeholders for the ongoing support. Alberto will now discuss our financial results in more detail.
Alberto Recchi: Thanks Greg. I'll provide a recap of our fourth quarter 2022 performance, give an update on our balance sheet position and provide guidance for the first quarter. In the fourth quarter, revenue increased 5% to $8.7 million compared to $8.3 million in the prior year, in line with our expectations. The increase in revenues was primarily attributable to positive contributions from our software offering, scaling of our additive manufacturing capabilities and traditional manufacturing services. Our gross margins in the fourth quarter were 41% compared to 47% in the fourth quarter of 2021. We continue to deliver top tier gross margin in the year-over-year change was primarily due to inflationary pressures to continue ramping or recently deploy new technologies and a more varied product mix. Fourth quarter adjusted EBITDA was a loss of $5.8 million compared to a loss of $3.1 million in the fourth quarter of last year.  SG&A expenses for the fourth quarter were $7.3 million compared to $7.1 million in the prior year, primarily reflecting increases to personal costs, the recent acquisition and increased professional fees. During the fourth quarter, we largely completed the transition of our manufacturing facility in Long Island City, New York to Livonia, Detroit. Turning to our balance sheet as of December 31, 2022, our cash, cash equivalents and marketable securities totaled $40.4 million. During the quarter, we deployed approximately $6.5 million in cash. We anticipated a higher burn in Q4 compared to our normalized burn as we largely completed our manufacturing facility consolidation to Livonia to manage the timing of expenses such as D&O insurance annual premiums. As we continue to invest in both new hardware and our go-to market initiatives, we anticipate some continued near-term pressure on gross margins compared to historical levels. We remain focused on further improving our cash burn and believe the continued strength our balance sheet and our focus on achieving profitability and managing cash burn will allow us to execute on our organic strategic plan without the near-term need to raise additional capital. With respect to our continued listing on the New York Stock Exchange, we intend to cure our deficiency and come into compliance with a minimum big price by affecting a reverse split of our common stock. Details of the split our plan to be included in our annual proxy payment and we intend to determine the split ratio and to seek approval at the annual meeting of the stockholders in June. Looking ahead for the first quarter of 2023, we anticipate revenues to be in the range of $7.8 million to $8.1 million. As Greg discussed, we believe we’re well-positioned for continued growth. We’re focused on those areas that offer the greatest opportunity, including enterprise manufacturing solutions and commercializing our software and anticipate and accelerator ramp up in these areas as the year progresses. With this, we’ve completed our prepared remarks and we’ll now open the call for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Greg Palm with Craig-Hallum. You may now go ahead.
Greg Palm: Yes. Thanks for taking the questions here. I guess maybe to start in terms of the outlook, what kind of visibility you have in that revenue ramp this year. I don’t know if its pipeline related or new customer related, but what gives you confidence that we’ll see a revenue ramp throughout the year.
Greg Kress: Hey Greg, thanks for asking the question. I appreciate you guys joining. So I think there’s three things that we’re looking at inside the business. First is our core legacy e-commerce channels, right? And that’s where we’ve seen some of the most competition and that’s where we’ve seen some pressure year-over-year. But we continue to work on optimizing that from a top line perspective. The second is we have our enterprise business, and this was new and I think the biggest thing for us here is it took us more time than I expected to really build that pipeline and find our go-to-market position. But we are seeing good traction, good pipeline, and sizable order visibility looking forward. Now with that being said, we’re still working to get confidence in being able to kind of stand up and provide a real good guidance on that. And then last, we’re working on commercializing our software. And this is interesting because it does have more predictable revenue associated with it, specifically with the SaaS models that we’re rolling out. And as we focus on tightening up our acquisition funnel and focusing on retention and driving lifetime value, we’re starting to get to a place where we feel like we can start to focus on that more and more to be able to provide more guidance. But at this point, we aren’t providing guidance at that level yet. And so we do feel like we are gaining momentum across those three initiatives inside the business and we’re seeing good traction. But again, we haven’t provided that guidance for the full year yet. The second thing I would say is we’ve also spent a considerable amount of time on the – on just our gross margin roadmap. And as we had a little bit of pressure in Q4, we’ll also have that in Q1 as we’ve moved from our Long Island City facility to our Livonia facility and consolidated. But once that’s complete, we’ll see more of stabilization getting back to the gross margins that we had planned for or that we had expected historically, we planned for this drop in gross margin as of right now just because we have some redundancies in our cost structure. And so once that’s complete at the end of Q1, we’ll be able to continue to start executing on that. And then while we’re doing all that, we’re also managing our cost base, right? We want to show a path to profitability and we want to be able to do that by driving our revenue, optimizing our gross margin and controlling our costs. And so you’ll see more and more of that throughout the rest of this year.
Greg Palm: Makes sense. On the software piece, specifically, maybe I missed it, but did you give a number of SaaS generating revenue customers associated with that $1.8 million amount? And I guess just sort of broadly speaking, how are you viewing growth of software specifically this year?
Greg Kress: Yes. We’re really excited with the momentum that we have. I think there’s been three things that we focused on that I kind of just touched on, but it was how do we acquire customers in a very effective way? The second was how do you retain those customers over that time period with the retention model associated with them. And then how do you drive the lifetime value of that customer by layering in more features and functionality to drive more revenue? And there’s some really exciting things that we’re working on and starting to roll out, but the adoption has been very strong and the retention of those customers has been very good. And I think we have a feature rollout strategy that not only allows for increased acquisition and better retention, but it’ll also provide additional revenue lines for the business. And so that should drive lifetime value. And so we expect to provide more insight into that model moving forward as to things as our metrics start to stabilize. But as of right now, right, we’ve completed Q4, we’ve completed – we’re completing Q1, we’re starting to feel better and better about where those models are going. And so you should expect to see more visibility to that as we move forward.
Greg Palm: Got it. Okay. I’ll leave it there. Thanks.
Greg Kress: Thanks, Greg.
Operator: Our next question will come from Jim Ricchiuti with Needham Company. You may now go ahead.
Jim Ricchiuti: Thanks. Good afternoon. Just wondering if you can give us the software revenue exiting the year Q4, just appreciate the color you gave for the full year 2022. Just trying to get a sense where it was for Q4.
Greg Kress: For Q4, we have not provided that information yet. We would’ve to pull it – we would’ve to pull those numbers, I don’t have them at the tip of my tongue. But we – as you can do, we started with little and it’s been ramping, so obviously Q4 was significantly higher. And I think that’s probably why you’re asking so you get a better sense of like what that ramp would look like as we moved into the rest of the year. But we can probably follow up with you on what those numbers look like. I just don’t have that with me right now.
Jim Ricchiuti: I actually – Greg, I actually have a similar question as it relates to the enterprise revenue in Q4. Again, only because it’s such a major focus for you in 2023, it’s just would be useful to know what the starting point or the ending point was for Q4 2022.
Greg Kress: Yes. I think you’re starting to get to a point where we’re talking about segment reporting, right? And ultimately we are – we haven’t provided that yet. I think that it’s something that we want to be able to do as we move throughout this year, but we haven’t been able to commit to that yet. And so I think you’re asking good questions, Jim, because it’s about like what that ramp ultimately looks like. But for this earnings call, we’re not providing that level of detail, but we’ll add that I think in the future. But that’s where we ultimately want to be able to provide you guys with more feedback about how each one of these individual growth initiatives are really ramping.
Jim Ricchiuti: Well, so – but you say your pipeline in enterprise is pretty healthy. So presumably there’s some meaningful revenues that you’re anticipating in Q1 from that as a percentage…
Greg Kress: Yes, we haven’t provided any of that detail, but we do have a good pipeline that is closing. And so what you’ll see is, in historically we’ve talked about our top 250 customers, right? Like that continues to represent the more enterprise book of business that we have. What you’ll see is in 2022 that kind of finished out of 60% of our revenue, which in 2021 it was more like 50% of our revenue, you just start to see that growing as a larger percentage. And that’s more sticky customers with bigger orders and higher gross margin with a lot more opportunity to go and grow those customers. And so that continues to be growing at – let’s call it 18%, 20% CAGR, over the last several years. And so it’s a good, healthy piece of our business. From a revenue perspective, it continues to grow and we will be providing some of that information in the future so that you can see more of what that pipeline looks like and how it’s translating into sales.
Jim Ricchiuti: Okay. What were the unusual, maybe just you can just give us a sense on the OpEx sounds like there was a little bit of unusual OpEx related to the move in manufacturing to Livonia, what – can you help us with that, because it’s also where I’m going with it obviously is to how to – how should we be thinking about OpEx on a go forward basis?
Alberto Recchi: Maybe I can take that Greg?
Greg Kress: Yeah, I was just about to say, Alberto can probably answer that.
Alberto Recchi: Thanks. Yes. Hey, Jim. Look, I think you should look at it this way. I think Q4 probably a decent indicator over SG&A will be in Q1, right? And so some of the factors also side in my opening remarks, right, that contributed to the increase in SG&A expense will remain valid and will be felt in Q1. So specifically there’ll be some spillover restructuring costs related to our move out of the Long Island City facility. Professional fees just being a big bucket of those costs and other spending related to being a public company, which I say remain in line as the previous quarters. Even though some of these things, we were able to reduce actually significantly, be in always [ph] is a perfect example. From a personal cost perspective, you should not expect any further increase.
Jim Ricchiuti: And any since Alberto about cash burn on a go forward basis, what should we be thinking along those lines?
Alberto Recchi: Yes, so perhaps let me make a couple remarks here around cash burn cash position, how do we see the past to profitability? I think this will help you model out the rest of the year. So, we closed the year with a strong cash balance, right of more than $40 million cash, which I think provides the company with sufficient liquidity to do a couple things, right? First of all, support the ongoing execution of our strategic plan, which Greg just outlined, support our normalized cash burn, which I’ll talk about in a second, and also positions as well on our path to profitability. Now, as Greg said, we’ll keep aligning our resources right, with the highest opportunity areas to drive revenue growth while, tightly managing our cost structure and aiming to maintain our growth margin levels aligned to what they’ve been historically. Okay. Now from a cash burn perspective, we’re looking to solve for a normalized average cash burn in the range of $4 million to $5 million per quarter. Okay. Now this will overall decrease a little bit throughout the year as revenue grow. That said, we did point out in the previous call – in last earnings that cash burn in Q4 of last year was going to be slightly higher, right. And that’s exactly what happened, again, mainly due to our relocation expenses. I related to the move to Long Island City – from Long Island City to Livonia and some annual expenses that happened usually in the end and first part of the year. Again, a good example is the D&O insurance, right. Okay. I cited a second ago, we were able to reduce that by 40% compared to the peaks of two years ago. Now looking prospectively [ph] and to give you some color around Q1 2023 burn, again, we do expect to land above the normalized burn. Again, mainly due to some carryover cost related to our manufacturing facility consolidation here in the U.S. So hopefully this helps you give you some perspective.
Jim Ricchiuti: Got it. Okay. Thanks very much.
Alberto Recchi: Sure.
Operator: Our next question will come from Troy Jensen with Lake Street Capital. You may now go ahead.
Troy Jensen: Hey, gentlemen. Thanks for taking my question here. I just wanted to dive in a little bit more the Detroit move and just kind of how it ties in with gross margins. Greg, I think you said it’s roughly the same in Q1 when we bounce back up in Q2. But maybe Alberto, I mean, are you guys kind of endorsing like a 41% gross margin for March? Do we go back to 43-ish or does it go higher now because Michigan facilities can be less expensive and better margin profile than the New York? So give us a little color on how you think gross margins trend throughout the year?
Alberto Recchi: Yes. So look, we do expect gross margins to hold strong in the 40s. I think looking at Q1, to answer your question, I would probably use Q4 as a proxy. Right. Now our plan has gross margins improved throughout the year, right back into the mid to high 40s, which represent our historical levels, right? And that will happen as we start ripping the effects of the optimization and consolidation of our manufacturing process. And also, as Greg pointed out, a software which is a 90% plus margin business becomes material right, from a revenue perspective which we will.
Troy Jensen: Perfect. All right. And maybe just Greg, I’d love to hear, I know you don’t want to give a lot of guidance, but $1.8 million in software. What do you think we’re going to do in 2023? Can you give us a number at all? I mean, is it 5 million? Is it 8 million? I mean, how excited are you on your software business?
Greg Kress: No, I’m really excited about the software business and we continue to see it scale. We haven’t provided guidance yet and I know that’s frustrating because it’s something we want to be able to tell you guys. But there’s a few key things that are happening throughout Q1 and into April that I think will help us feel a little bit more comfortable with providing a little bit more clearer guidance. But again, we can't commit to anything at this point but we continue to see really good momentum, right? We've found ways to acquire customers very efficiently. Retention models are exceeding our expectation and lifetime value remains very strong. And so we expect to be able to provide a lot more color to what that model looks like as, again this is one of the newer growth initiatives for us. And so, but things have definitely played out as we had hoped in the back half of the year and we're moving into this year with a lot of strong momentum behind the business.
Troy Jensen: Understood. All right guys, good luck.
Greg Kress: Thanks Troy.
Troy Jensen: Excellent.
Operator: Our next question will come from Noelle Dilts with Stifel. You may now go ahead.
Noelle Dilts: Hi guys. Thanks for taking my question. So in looking in your 10-K just going through direct sales marketplace and software, direct sales were kind of flat year-over-year. And again, I know you're not giving guidance, but how should we think about kind of what's going to drive some of that growth and kind of break-out of this relatively steady pattern you've had over the last three quarters? And then I think you mentioned that you expect this continued pressure in marketplace sales. But any thoughts just on – does that, again that business has been relatively stable for the past couple of quarters. Do you think we're at a point where things have stabilized from a revenue perspective or do you think we're going to see another significant leg down in 2023?
Greg Kress: Yes. Thanks Noelle. I appreciate you guys joining. So to answer your first question, one, the growth that we see in the plan is really coming from enterprise sales and from enterprise manufacturing services and from software. I think right now both of those have strong pipelines from models and that'll continue to push forward. What we are continuing to focus on and we don't want to drop the ball on is our legacy e-commerce business, but we've talked – as we've talked in the past, we know that that channel ultimately has a lot more competition. It's more price sensitive customers, and so as much as we want to maintain that business, which we continue to have some focus on it, it's not going to be the gross driver for the business. And so I think what we've learned is software is very predictable if we know how to go drive it. We are working on continuing to accelerate that. And then on the enterprise sales, it is a longer buying cycle than we could have – than we had originally thought. It does take much more of a solutions based sale but the orders are significantly larger. The customer qualification process is longer, but once you're complete you're able to really go and tackle those customers. And the pipeline that we have in the sales on a month-over-month basis that we're seeing from our enterprise sales reps is really encouraging. And so that’s where we’ll be driving the growth for us. And the second question you had was related to I’m sorry, I think I may have…
Noelle Dilts: I just, I think you cut, you kind of hit on it. You hit on it, while you were talking, it was just more on the enterprise on the, I’m sorry, on the marketplace side. Because sales there have been pretty stable here in the back half of the year. It looks like $1.4 million in 3Q, $1.5 million in 4Q up from 2Q levels. So I wasn’t sure if you felt like maybe that was more of a, kind of stable level.
Greg Kress: Yes, I mean we’re always working on that. Yes, we’re always working on that channel, but ultimately it’s a harder channel to go significantly drive, right? And so we’re just being very prudent, right? We’re very focused on our past profitability and making sure that we drive profitable growth and that’s some of the harder pieces of the business to go drive where we are seeing success in other areas.
Noelle Dilts: Okay. And then I guess anything notable on, just in terms of the demand for various technologies, on the additive side, are you seeing more demand for metal? How, I guess I’m just curious if there’s any, any sort of notable trends that you’re seeing, on the additive side or even, with injection molding even though that’s, obviously kind of new, but could you point anything out that would be important for us to understand? Thanks.
Greg Kress: Yes. I think, we’ve deployed several different types of metals last year and those have all started to wrap. I think Whirlpool was a really good example, right, where we’re using multiple processes including metal printing to create, injection molds, production injection molds for them which is a very interesting application with conformal cooling and giving them access to, a lot of benefits on scaled production that they wouldn’t be able to do without additive manufacturing technology. I also think that we’ve seen quite a bit of usage even on our core business, right? When you think about Nylon 12 across both HP and EOS that continues to be great products for us and, we’re seeing good demand there as usual, right? But those, I think one of the interesting things is we move into enterprise customers is giving them access to that full capabilities or Shapeways and they can move across products and get access to new technologies and materials and finishes that they may have started with us on one thing and got moved to another. And so we continue to see a, good mix.
Noelle Dilts: Great. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Greg Kress for any closing remarks.
Greg Kress: Yes, I just want to thank everyone on behalf of me, myself and the entire Shapeways team. Thank you all for taking the time to join us today. We look forward to providing additional updates in the coming months.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.